Operator: Ladies and gentlemen, thank you for standing by and welcome to the Ping Identity Third Quarter 2019 Earnings Call. At this time, all participants are in a listen-only mode. After the speaker’s presentation, there will be a question-and-answer session. [Operator Instructions] I would now like to hand the conference over to your speaker today, Hugo Doetsch, VP of Finance and Corporate Development. Please go ahead.
Hugo Doetsch: Thanks everyone for dialing in and joining us today and welcome to the Ping Identity conference call where we will discuss our results for the third quarter of fiscal year 2019. I am Hugo Doetsch, Vice President of Finance and Corporate Development and with me today is Andre Durand, our CEO and Raj Dani, our CFO. Before we begin, I would like to remind you that today’s discussion may include forward-looking statements. Please refer to our final initial public offering perspective dated December 18, 2019 and filed with the Securities and Exchange Commission where you will see a discussion of factors that could cause the company’s actual results to differ materially from these statements. I would also like to remind you that during the call we will discuss some non-GAAP measures in talking about Ping Identity’s performance. You can find a reconciliation of those measures to the nearest comparable GAAP measures in our 2019 quarterly financial statement and in our final perspective. Given the sheer number of analysts, we ask that you limit your initial questions to one and one follow-up. And with that, I will turn the call over to Andre Durand, Founder and Chief Executive Officer of Ping Identity. Andre, please go ahead.
Andre Durand: Thanks, Hugo. Good afternoon, everyone and thank you for joining the first earnings call as a publicly traded company. I would like to start by thanking my colleagues at Ping Identity for their dedication to the growth and success of Ping and to our customers for their trust, loyalty and partnership as they manage their critically important identity and security programs. We are honored to serve them and are inspired to define the future of identity and security with them. With that, I am pleased to share our third quarter results. We experienced strong top line performance in the quarter with ARR growth of 23% year-over-year culminating in a $206.7 million ARR and with total revenue of $61.8 million. Given the impacts of ASC 606, which Raj will detail later, we believe that ARR is the best representation and measure of our top line growth and is the key metric we use to evaluate the business. Since this is our first earnings call, I would like to take a few moments and explain why we exist and why the solutions we provide matter as well as share some of the reasons why I founded Ping and the Identity Industry Conference, Identiverse. For starters, the question of authenticity and identity are not new, the need to verify identity precedes every transaction of value and the assurance of identity has never been more critical to our future. With the sheer volume of digital transactions requiring authentication is unprecedented. With the advent of the cloud and mobility, we have seen an exponential increase in both the speed and volume of digital interactions between people, businesses and things. Fundamental to the integrity of these interactions lies two simple questions, who are you and what are you authorized to do? These are the questions that now precede all digital interactions giving rise for the need for identity and access management and creating the exciting opportunity that exists for Ping. While the challenge of identity exists in both the physical and digital world, nowhere has the need to secure identity become more acute than within the enterprise IT, where companies are experiencing a dissolving perimeter and must now change how they secure applications and users that reside outside their firewalls, networks and perimeters. Despite being simple and concept, the technology required to identity, authenticate and authorize every transaction across our digital world in real time and make it both seamless and secure require significant investment, a through understanding of past, present and future IT infrastructures and relentless innovation. Ping was created to help solve the challenge of identity based access security for large enterprises, one where the desire for a frictionless user experience does not compromise the need for security. Given the math of opportunity, we have chosen to direct our solutions at the enterprise market, where the need for control, security, performance, scale, integration and advanced capabilities match our hybrid cloud intelligent identity platform strengths and our DNA as a company for solving the heart problems. These enterprises require solutions that cannot only secure hybrid infrastructures they require a solution that can be deployed wherever the enterprise requires, cloud, private cloud, hybrid and on-premise based upon granular security control and customization requirements. Only Ping offers this hybrid cloud deployment flexibility and the ability to secure the enterprise end-to-end. We have deployed our solutions at more than 1,300 companies solving some of the most challenging identity problems. As a result, Ping has become the identity standard for large enterprises globally. To underscore this point, many of the world’s leading enterprises, including over 50% of the Fortune 100, all 12 of the largest U.S. banks, 8 of 10 of the largest biopharmaceuticals, 4 of 5 of the largest healthcare plans and 5 of 7 of the largest U.S. retailers have chosen ping for our advanced hybrid cloud solutions, ease of integration, deployment flexibility and proven ability to scale with security. The approximately $25 billion market we serve can be broken down into two larger opportunities. The first is a replacement of legacy identity solutions that were not architected for the modern world of hybrid cloud for open standards and as a result are unable to meet today’s enterprise requirements. Ping’s modern single sing-on access security, directory and data governance solutions are well positioned to take advantage of this market share shift away from the legacy incumbent providers. The second opportunity is a Greenfield expansion driven by the adoption of new technologies and use cases such as customer identity, multifactor authentication, the identity of things and API security. We continue to see robust demand for our entire suite of solutions and believe that our investment across the business will create opportunities for us in the future and will allow us to capitalize on the large and under-penetrated market we serve. Ping’s intelligent identity platform is comprised of six solutions, single sign-on, multifactor authentication, access security, directory, data governance, and API intelligence securing all primary use cases for customer, employee, partner and increasingly IoT. Each solution is built on open standards and can be deployed standalone or in concert with other Ping solutions in the customer’s cloud, our cloud or in their datacenter. Our single sign-on solution allows users to sign on once and gain access to all of their applications across their hybrid IT landscape. Our multifactor authentication solution provides adaptive authentication with a superior password list user experience. Our access security solution provides access control to both web and APIs and was designed as a modern replacement to legacy web access management solutions such as SiteMinder and Oracle Access Manager. Our directory solution provides a secure data store for identities and is deployed in some of the largest customer, employees and IoT use cases in the world. For example, one of our customers leverages our directory to manage over 160 million users. Our recently released identity data governance solution provides advanced protection of sensitive or regulated identity data that is often exposed to third-parties. This product is being driven by new privacy regulations such as GDPR and CCPA. Lastly, our new API intelligence solution provides advanced security to protect APIs from hackers. The solution leverages artificial intelligence and machine learning to monitor all API traffic, detect anomalies and block cyber attacks. In Q3, we expanded a Fortune 100 financial services customer who is already spending more than $1 million in ARR with Ping by adding Ping Intelligence to better secure their APIs. This deal totaled greater than 500,000 in new ARR and was deployed in 5 weeks. Taken as a whole, these six solutions comprise the Ping Intelligent Identity platform. And when leveraged together provided powerful foundation for the digital transformation of customer engagement and workforce security. We continue to invest in simplifying their deployment into the hybrid cloud and improving their integration with the enterprise. For example, this quarter we launched a new capability that simplifies the integration of the Ping platform with application teams, providing self service for app owners to speed integration and reduced IT costs at the same time. These solutions are differentiated through intelligence, unmatched deployment flexibility turnkey integration with hundreds of hybrid cloud environment, and an ability to address all primary identity use cases with one platform. As a result, enterprises are able to provide an enhanced user experience and increased security to their customers, employees and partners. Many of our larger and more complex enterprise customers with significant on-premise environments choose to deploy Ping solutions within their datacenter for maximum security, customization and control. Customers undergoing a cloud transformation, but requiring the same level of security and control they had within their datacenter chose to deploy Ping in their cloud. Others choose to leverage our identity as a service for rapid deployment when the needs for customization and control are a secondary requirement. Irrespective of where our customers deploy Ping. All of our customers leverage our pre-built integrations to connect on-premise applications and leverage open standards to connected cloud applications. Taken as a whole, Ping flexibility and advanced hybrid solutions are unmatched and our ability to deploy wherever the enterprise chooses is unique. As an example, the large global entertainment and ticketing company recently purchased Ping to replace a homegrown solution that was part of their digital transformation initiative to establish a stronger and more personalized relationship with customers, while improving the digital security around tickets and event access. The company was also pursuing a cloud mandate and chose the Ping platform deployed in AWS. The solution is unique in its scale performing tens of thousands of transactions per second in a hybrid cloud deployment that also leverages our strong authentication as a service. The multimillion dollar project is expected to go live in early Q4. While we have always been strong in the customer use case, we are also trusted by the largest enterprises to secure their employees and partners and we excel at both given our unique combination of performance and capabilities. For example, the state of Colorado was recently one of the first to issue a digital driver’s license powered and secured by the Ping platform. The mobile experience provides better convenience and security for citizens and lower costs for government. For the year ended December 31, 2018, 44% of our subscription revenue was derived from the customer use cases, which continues to be a strong growth driver and competitive differentiator in the market. In 2019, we are investing in our channel and partners and are making further enhancement to our unmatched hybrid cloud offerings, developer tools and intelligence offerings. All of these are multiyear investments that will begin to deliver value in 2020 and beyond. In closing, we are proud of our year-to-date results. The success of our customers is validated by a 92% Gartner Peer Insights rating on Willingness to Recommend and the recognition we have received from research firms such as Gartner, KuppingerCole, InfoSec and CRM, who have recognized Ping as a leader in the enterprise access management market. Recent conversations with customers and our CISO advisory have reconfirmed the growing importance of identity, zero trust and the fact that enterprises need hybrid cloud solutions more than ever. This has been further validated by many recent third-party research reports that cite identity as a top priority for security spend. I would now like to turn the call over to Raj Dani, CFO of Ping Identity to walk through the quarter results in more detail. Raj?
Raj Dani: Thanks, Andre and everyone for joining today’s call. To begin, I would like to provide an overview of our business and financial model, so that everyone understands the fundamentals of Ping, then I will discuss our third quarter financial results in detail and finally, I will provide our guidance for the fourth quarter and full fiscal year 2019. As Andre alluded to, Ping’s Intelligent Identity platform is offered on a subscription basis, primarily under multiyear contracts with an average contract term of 2 years. Regardless of the subscription contract term, almost all of our customers are billed annually in advance. Our subscription pricing model is based on the number of identities licensed by solution and by use case, customer, employee, partner and IoT. Ping’s modern hybrid cloud architecture allows customers to choose to deploy our solutions in the cloud on-premise or some combination of the two. Large and global enterprises quickly gravitate to Ping given the flexibility of our platform and our ability to address their multi-generational IT reality. We tend to utilize a land-and-expand model to grow ARR and revenues. We can expand within our customer base in three primary ways, selling additional solutions, expanding into new use cases and simply increasing identities under license. Core to our land-and-expand strategy, we sell one of our Fortune 100 retailers expand with Ping in the quarter, across the use cases and solutions. The retailer was undergoing a digital transformation and vendor consolidation initiative and chose Ping’s hybrid platform to act as a central authentication authority replacing ADFS, Homegrown Solutions and CA SiteMinder. The expansion brings this customer’s ARR to over $500,000. We are also seeing a growing phenomenon of customers buying multiple solutions and use cases at initial purchase. In Q3, one of the largest banks in Australia chose Ping’s FFO, MFA, access security and directory solutions deployed in a hybrid manner for their employee and partner use cases. In total, we are helping to secure tens of thousands of employee and partner identities. This new customer represents approximately $900,000 in total ARR with significant expansion opportunities across multiple use cases. We early adopted ASC 606 with a fill retrospective application. Thus all figures in our historical SEC filings and in our financial reporting going forward will have ASC 606 uniformly applied. Under ASC 606, subscription term based license revenue is recognized upfront with the associated maintenance and support recognized ratably over the subscription term. SaaS based revenue continues to be recognized ratably over the subscription term. This is an important dynamic to remember given the nature of our revenues which can be impacted by our hybrid cloud deployment model and contract duration. As a result, under ASC 606, our quarterly revenue makes it a high degree of variability from period to period. To help normalize for this, we believe that focusing on ARR or the annualized value of our subscription contract and un-levered cash flow which are both unaffected by ASC 606 are more relevant in assessing Ping’s growth and operational performance. Now, I will turn to our third quarter results. We ended the quarter with ARR of $206.7 million, which represents strong year-over-year ARR growth of 23%. This growth was driven by increased deal volume and a healthy mix across solutions and use cases. Third quarter total revenue was $61.8 million representing 45% year-over-year growth. Subscription revenue was $57.5 million or 93% of total revenue continuing a trend of greater than 90% subscription based revenue over the past eight quarters. In the third quarter, our dollar based net retention rate was 115% calculated on a trailing 12-month basis. While this rate can vary from period to period, we have consistently achieved very strong dollar-based net retention rates of at least 115% over the past eight fiscal quarters. For the remainder of the P&L, I will refer to non-GAAP metrics. You can find a reconciliation of non-GAAP to GAAP numbers in the accompanying press release. Gross margin for the third quarter was 84% and our subscription gross margin was 90%. We believe these metrics further reflect the strength of our enterprise customer and a mission-critical nature of our hybrid cloud solutions for our customers. Strong gross margins enable us to continue to invest in innovation and growth of the business without sacrificing profitability and cash flow. Our business model is established and well proven in terms of our ability to drive significant operating leverage with revenue growth. We have consciously leaned into investments in 2019 to capitalize on our large market opportunity. Total operating expenses in Q3 ‘19 were $38.6 million driven primarily by year-over-year growth in both sales and marketing as well as research and development as we make incremental investments focused on innovation especially in our growing hybrid cloud offerings and in our go-to-market activities. We also built out our global infrastructure teams and footprint to further support our growth and in anticipation of operating as a public company. Part of this investment includes the initiation of an RSU program for our employees. After the third quarter ended 9/30, we granted 1.3 million shares with the vesting period of approximately 4 years. Un-levered free cash flow was negative $0.8 million during the third quarter better than we expected primarily due to strong cash collections and timing of CapEx, that we now expect to realize in the fourth quarter. Adjusted EBITDA in the third quarter was $13.8 million representing a margin of 22% despite increased investments in the business. As mentioned earlier, despite our continued commitment to invest in growth and innovation, our business model and operating efficiencies allow us to maintain profitability. Our balance sheet remains strong with $81.9 million of cash on hand at the end of the third quarter. Our term loan balance at September 30, 2019 was $77 million with the maturity date of January 2025. As a result of our strong financial profile, in October, Moody’s upgraded our corporate credit rating from B2 to B1 and S&P upgraded our corporate credit rating from B- to B+. Also in October, the underwriters exercised their over-allotment option of 1.875 million shares of common stock and subsequent proceeds were immediately used to pay down debt. Pro forma for the exercise of the over-allotment option, our basic and diluted share count was 68,144,000. We are confident that our existing capitalization structure will allow us to be a successful growth software company and we are taking this opportunity to use profits to reinvest in the business. Turning to guidance, it is important to reiterate that our quarterly revenue and adjusted EBITDA tend to exhibit a high degree of variability from period to period due to the overall impact of ASC 606 on our hybrid cloud deployment model. Additionally, given the nature of enterprise purchasing cycles, we do experience seasonality with the fourth quarter contributing to largest proportion of annual revenue. For this reason, Ping relies heavily on ARR as a much more precise KPI for assessing top line performance over time. At December 31, 2019 we projected ARR to be between $222.1 million and $223.1 million. We further anticipate Q4 revenue to be between $64.7 million and $66.7 million with un-levered free cash flow to be between negative $11.9 million and negative $10.8 million. Speaking to our un-levered free cash flow expectations specifically, we believe that the market opportunity is such that it’s advantageous to continue to invest and lean into our tremendous growth opportunity within identity and security. So from that perspective, we have been investing across the board, everything from support to professional services, customer success, new sales people, training and enablement, channel investments, R&D innovation and new solution development. These investments are starting to demonstrate success as we see positive signs from the market and our customers. For the full year 2019, we anticipate revenue between $239.3 million and $241.3 million with un-levered free cash flow between negative $3.8 million and negative $2.7 million inclusive of contingent deal consideration in the amount of $4.9 million. We are pleased with our strong results through the first three quarters of the year. The momentum that identity and access management is gaining within security and our company’s leadership position in securing customer, employee, partner, and increasingly IoT identities across the large enterprise market. We view security as a key underpinning to enterprise digital transformation and believe we are in the early innings of an enormous market disruption opportunity. As such, we will continue to invest in our industry leading intelligent identity platform and aggressively pursue our large and growing market opportunity. Ping is uniquely positioned to be the premier security choice for large and global enterprises as they embark on their digital transformation journeys and we look forward to reporting on our progress in achieving this vision along the way. With that, I will turn it over to the operator for your questions.
Operator: Your first question comes from the line of Heather Bellini with Goldman Sachs. Please go ahead. Your line is open.
Heather Bellini: Great. Thank you so much guys for taking the question and congrats on the IPO. Just had two quick ones, I was wondering if you could talk about a little bit about the accelerated investments you are making in sales and marketing that Raj you were just talking about and how should we be thinking about that increased spending translating into ARR and revenue growth as we look into 2020? Is there any color you could give us there? And then my second follow-up question was just going to be related to competitive environment if you could just walk us through what you are seeing if there is any changes? Thank you.
Andre Durand: Raj, why don’t you take the first part of that question? I will take the second.
Raj Dani: Yes, sure. Hi, Heather. So, in terms of the increased investment, basically our model has a lot of operating efficiency already built into it and we have demonstrated considerable operating leverage with revenue growth in the past. So that gave us a lot of confidence to go ahead and reinvest in the business, especially at a time when we saw great opportunity to reinvest, right. Our land and expand is the key driver for us and we – our high velocity sales will enable us to land quickly into new logos in the enterprise. So we just thought that given that we have invested in product in the past and will continue to do so, but now is the time to – since we are in the early innings from an enterprise adoption standpoint on our platform and the – just from a timing standpoint, it seemed to bee the right time to invest. And we anticipate that we will see the benefits of this when it all comes together probably in 2021 and beyond.
Andre Durand: Heather, this is Andre speaking. I will speak to just some of the macro environment, competitive environment. I mean, as you know, identity is the large and growing market. There are multiple market segments. There will be multiple winners. The market has proven historically too large and too dynamic for a winner takes all. There are multiple slim lanes in this market. I think it’s well understood that identity and access management is distinct from privileged access management and IGA, where we partner. That is our strategy to continue to do that. I think from a competitive point of view, the overarching competitive landscape has not changed significantly. I would say competition varies by use case. For example, in the customer use case, we are often competing with status quo and homegrown solutions, believe it or not. The most recent situation for us, frankly, is an inertia of do nothing, especially in large modernization, legacy modernization efforts. We are competing against an incumbent, essentially modernize their entire infrastructure. I would say that when we see cloud-only vendors it tends to be in the workforce use case and it tends where we run up against it a little bit more tends to be in what we would refer to as the smaller enterprise segment.
Heather Bellini: Okay, great. Thank you very much.
Operator: Your next question comes from Tal Liani with Bank of America. Please go ahead. Your line is open.
Tal Liani: Hi, guys. Great quarter. I have a question about the sources for the unexpected positives. I look at your EPS that was very strong roughly half of it comes from strong revenues and half of it comes from better margins. Go over the – if you don’t mind go over the sources for the expected positives given that we just met you a few weeks ago and I want to understand what was just conservatism on your end and where did you see real change, better change or positive change that you can carry into the next few quarters. I am trying to understand the roots of it and how I model the next few quarters? Thanks.
Raj Dani: Sure, Tal. This is Raj. Thanks for the question. Certainly, from a primary source of the unexpected was revenue. And so if you think about the EPS impact, that’s largely a slowdown from the top line growth and we had a really big quarter and you will see this in the disaggregated revenue footnote from software deals that were multiyear. So we are continuing to see a great shift from our clients. There is some – with some impetus coming internally, but largely our clients driving the shift to more multiyear contracts, not just at the inception, but also at renewal. So, we are seeing a lot of 1 year renewals historically turning into 2 years. So that’s adding to the revenue impact. And then certainly, we are seeing some timing impacts on the operating expense lines that has much more minor impact, but largely the revenue beat that’s slowing down.
Tal Liani: Got it.
Raj Dani: The only thing I will add, Tal, is that because of the variability that we talked about, I continue to focus on ARR as the key metric that’s what we do internally and that’s where it drives a lot of the internal compensation plans etcetera.
Tal Liani: Got it. Two additional short ones. I know you don’t provide EPS guidance, but can you help us with OpEx or how do we have to think about for stability next quarter so we can have EPS expectations?
Raj Dani: Well, we don’t guide to necessarily OpEx, but because we don’t guide to that let me come back to you on that, Tal.
Tal Liani: Right. What are the puts and takes meaning seasonality or any planning for investment for the following quarter, when I look at the OpEx sequentially even without getting to the numbers what are the puts and takes in the expenses?
Raj Dani: Well, so you hit the nail on the head. I mean, seasonality Q4 is always our largest quarter and we expect that to continue as you can see from some of the top line guidance. We are continuing to invest and have been in sales and marketing. So I think you will continue to see that trend move in that direction. As we have been investing even through Q3 or see the full quarter run-rate impact in Q4 with – largely sales in marketing and probably a little less so in R&D and G&A as those sort of start to settle in.
Tal Liani: Got it. Thanks. Maybe I am wrong, because I am working I have a problem with my computer, so I am looking at a table rather my Excel Spreadsheet. If I understand correctly on a sequential basis, so the marketing ones was down, G&A was down, R&D was the only one that was up in OpEx. So again, if I look at a table correctly, if these are the trends, how does it connect to what you said about greater investments in sales and marketing?
Raj Dani: Well, I think part of it is timing of hiring to be honest. I mean, we have open racks and we will continue to fill those, but Q2 is generally higher on sales and marketing, Tal, because it’s usually big commissions quarter. So, the approval for that is in there. Q3 is a little bit lighter seasonally. So that’s impacting it. We also have our large industry conference Identiverse in Q2. So that drives some of that marketing spend in Q2. So that’s the spike that you see. So when you look at the trending, if you normalize for all of that, you would see a slight tick up sequentially, but I expect that Q4 will increase from Q3 just based on where our focus is internally.
Tal Liani: Got it. And just my last question and it’s not even connected to your numbers, great results, great guidance, I want to ask you about the environment, Cisco just once again had a weak quarter, weak guidance. This is not the first company. We have seen many other companies some of them in your area, whether it’s FireEye or ForceCount that are reporting on sales cycles and difficulty to close deals. And I know you had great results and great guidance, but have you noticed any of these issues with your customers that it’s more difficult now to get the contract or this is something you just don’t see?
Andre Durand: I will take the first piece of this, and Raj, if you have something to add feel free to chime in. Look, I don’t think anything is truly, call it recession bullet proof. We have observed that security is resilient, especially in the enterprise market. Our solutions are treated as mission critical and they are very sticky as evidenced by how hard it is for us to take out incumbents at times. Our average contract duration is 2 years. We obviously have a strong balance sheet and great cash flow now. So I think as we project, Tal, we have not seen anything in our business which would indicate a slowdown. When you compare it to the companies, the size of Cisco and other, obviously they bought early warning indicators that extend far beyond our ability to see into the market, but we have got observed I think or even heard anecdotally of anything specific on a general market turndown. Maybe we have had a few commentary around what the Brexit might mean, in particular, to England. Raj, do you have something to add to that?
Raj Dani: No. I think that’s it.
Operator: Your next question comes from Matt Hedberg with RBC Capital. Please go ahead. Your line is open.
Matt Hedberg: Hi, guys. Thanks for taking my questions. Congrats on the quarter. In your S-1, I believe you know 13% of customers have adopted three or more products and I know in your prepared remarks, you talked a lot about MFA and API intelligence success there. I am wondering if you could talk a little bit about the attach of some of these newer products. How that’s been churning, in other words, our customer signing up for initial deals with multiple products more so today or some of these multi-product customers, more so on up-selling existing contracts?
Andre Durand: We have absolutely experienced more of our new customers purchasing more than one capability at the start date. We do sell that way. We do sell solutions that include multiple capabilities. I will say that the largest success, but it’s also been around the largest in terms of attach. We do see a high attach rate of our cloud MFA into a lot of deals. And so we have experienced, generally speaking, larger deals, multi capability from day 1. In terms of the new product introduction, it’s very much a strategy to pursue near adjacencies where we have a strong foothold. Many of our large deals, both expansion deals as well as new deals. So, for example, we announced a Fortune 100 retailer that just expanded into a replacement of SiteMinder for both workforce and partner. They chose it for our hybrid flexibility. That was north of $500,000 ARR expansion. At the same time, Raj mentioned this we signed the largest bank in Australia. That was a new customer to over $900,000 in ARR that was a workforce partner, legacy modernization and there we landed with SSO MFA Access and Directory.
Matt Hedberg: That’s great. And then the question on use case, yes, I know this is a strong opportunity for you guys, I think it was about 44% of subscription revenue last year. How should we think about the size of that opportunity I guess relative to sort of the core enterprise identity opportunity?
Andre Durand: I will take that, Raj. So we believe the customer use case is a larger overall market opportunity. We think that most of the solutions in large enterprise have been a combination of homegrown and now a number of legacy systems. These as you know are revenue generating top line revenue generating initiatives. Many times they are driven by budget of a digital transformation where they are shooting for better digital and mobile experiences. Oftentimes, there is a cloud transformation going out the same time and they are also looking to consolidate what has been a number of siloed disparate, almost line of business customer systems and now they are trying to create one customer identity for all services, all solutions, all lines of business. And in that scenario, Ping is ideally suited to win that business. Many of our largest deals have been in that use case. As you know, our business has been largely comprised in the customer use case for some time. We just think our solution is so well suited now to the modernization of these legacy customer systems that we are leaning into it. So we also believe that the market is larger because the number of identities associated in the customer use case is not tied to employment. We have many more customer identities that have to be managed by these large enterprises than we do employment identities.
Operator: Your next question comes from Walter Pritchard with Citi. Please go ahead. Your line is open.
Walter Pritchard: Hi, thanks. Andre, question for you, I think following up on that customer side, I know you have recently last few quarters released your SaaS based customer offering, I am wondering is that changed the game, I know your largest public competitor is the SaaS only solution, I am curious how that’s improved your competitiveness or not in that market?
Andre Durand: So, we are actually pursuing a slightly adjacent and new market opportunity for our IDAS solution focusing towards the customer. We have now a solution that targets developers and line of business, whereas our traditional solution targets IT in their modernization and replacement of their existing systems. So you can kind of think of this as net new activity where companies are looking to deploy a customer facing solution and speed and time to market and ease of use is the primary requirement. That tends to differ significantly from when we see a modernization of 20 years of legacy customer systems. So with that in mind, we are actually experiencing nice interest right now from a new – really a new buying center that we ourselves are beginning to understand. But suffice it to say, when you go after the customer use case, there are both existing systems that need to get modernized. There are new applications that we need to cater to a new segment of buyer. That’s what we are targeting our new cloud customer solution towards.
Walter Pritchard: Yes, great. And then Raj, for you on the questions earlier on, incremental sales and marketing investments and we also noted there wasn’t a huge uptick in spending. It sounds like there is some timing here. But as we think about it, going forward, have you sort of deployed the additional sales and marketing firepower that you see deploying or do you think this ramp will continue as we go into 2020 and well into that year?
Raj Dani: Yes. Walter, we will go ahead and update the guidance for next year and on our next call, but just directionally, we expect to continue to ramp up that investment over the next couple of quarters and that will also take some time as sales and marketing investments usually due to sort of gestate and drive results. And that’s why we sort of signaled for the returns in ‘21 and beyond.
Operator: Your next question comes from Saket Kalia with Barclays Capital. Please go ahead. Your line is open. 
Saket Kalia: Hey, guys. Thanks for taking my questions here and congrats in your first quarter as a public company.
Andre Durand: Thanks, Saket.
Raj Dani: Thanks, Saket.
Saket Kalia: Hey, maybe Raj, just to start with you, can you just talk anecdotally about any trends that you are seeing in terms of customers opting for cloud deployments versus on-premise? And just perhaps remind us what sort of ARR and revenue impacts one versus the other can have?
Raj Dani: Sure. So great question, so all enterprises as we have sort of maintained are hybrid by default, right. So the beauty of the Ping solution is that we can integrate all apps across on-premise and cloud and lately what we are seeing Saket is a lot more customers, lot of these enterprise who have cloud mandates but require the customization to control and the security requirements, right of having on-premise software, but you guys have a cloud mandate, they will opt to deploy Ping software in a third-party cloud of their choice. And we have made that very easy. So while we are agnostic as to how our customers deploy Ping software basically if they could deploy us in the public cloud, they could deploy us in the private cloud, they could deploy us in their cloud or in their datacenter. And so what happens is when we sell software to our customer and they deploy that in a datacenter or in a third-party cloud of their choice like AWS that is considered term license revenue to Ping, right. And so that is largely upfront rev/rec. If we could sell that solution and typically we are selling hybrid solutions where we are selling SaaS and software in the same deal for the most part given the hybrid nature of the customers and the SaaS continues to be rev/rec or ratably over the contract term. So one thing that’s really important to realize and this is why we always come back to ARR being the go-to metric is regardless of deployment type for duration of a contract, ARR normalizes for all of that.
Saket Kalia: Makes sense. That’s helpful. Maybe for my follow-up for you, Andre, you mentioned SiteMinder a couple of times, there was a question earlier about the competitive landscape, I would love to heard what you saw in terms of opportunities for displacement for tools like SiteMinder and any of the other legacy IAM vendors during the quarter?
Andre Durand: Well, we mentioned two of them, so large retailer that the Fortune 100 retailer who expanded with us specifically on a CA SiteMinder, CA Broadcom SiteMinder replacement, pretty substantial deal. Typically, these involve thousands of applications. Likewise, that largest bank in Australia, I am not exactly sure, well, I don’t have it in front of me which legacy vender we replaced there, but unquestionably, if we are FFO, MFA, access and directory, there are least two or three legacy vendors that we are displacing. And by and large, we have seen by market share kind of in this quarter, CA, Oracle, IBM. And there has been a smattering of legacy vendors like Novel in there as well. This large ticketing deal that we also just recently announced is a 7-figure multi-year deal, the hybrid cloud solution. We will refer to as the solution by Amazon. This was all part of a cloud and digital transformation initiative. They had a homegrown solution and they selected the Ping platform deployed in AWS. So, we see a combination of these large homegrown systems typically in the deals or say north of $0.5 million, there is some legacy that we are replacing as well in the order I mentioned.
Operator: Your next question comes from Brad Zelnick with Credit Suisse. Please go ahead. Your line is open.
Brad Zelnick: Great. Thanks so much and congrats on all the success guys. I have got first question for Andre and a follow-up for Raj. Thanks. So, Andre, you talked about the dissolving network perimeter as a demand driver for identity management solutions, which I think is fair to say has been happening for some time. Can you talk about the trends you are seeing in enterprises embracing zero trust architecture and maybe to the old baseball analogy, what inning would you say we are in as the world fundamentally shifts its approach to security?
Andre Durand: We are very much in early innings. As a matter of fact, the zero trust kind of moniker, if you will, is I would say actively being defined by the vendors and participants who have a piece of enabling a zero perimeter enterprise if that makes sense. And so the entire notion of work from anywhere on any device, any place, gain secure access to corporate resources, independent of where the company defined its firewall, which is really what zero trust is about and what is, how we describe the dissolving enterprise perimeter. What we do know about the definition is that identity is the underlying architecture, if you will. We need to secure identities through the devices that they are accessing, whether they be corporate issue devices or personal devices into any corporate resource irrespective of where that corporate resource resides in the public cloud, in the private cloud, in their data center and is connecting that anytime, anywhere, mobility of a workforce, not defined by these network perimeters. I think we are extremely early innings, I think we are still defining it. I think the primers for what companies have to deploy to enable zero trust is now being understood. We know that MFA and identity sit underneath every construct of zero trust.
Brad Zelnick: Excellent. That makes a lot of sense. And just a follow-up for Raj, Raj, strong 115% dollar based net retention in the quarter, how should we think about that metric in the context of non-regrettable churn and what if any impact that might have on your renewal rate going forward?
Raj Dani: So, the non-regrettable churn you referred to is just to kind of calibrate everybody that’s sort of low dollar ARR customers of having grown with us aren’t our ideal customer profiles, right? By their very nature, while you can accumulate them and count, they tropically don’t have much ARR associated with them. So I don’t see much of any impact of any continued attrition there to really impact the dollar-based net retention rate going forward or just the overall growth of the ARR snowball in general.
Operator: Your next question comes from Phil Winslow with Wells Fargo. Please go ahead. Your line is open.
Phil Winslow: Hey, thanks guys for taking my question and congrats on a great first quarter out of the box. I just want to focus in on Ping Intelligence for APIs, one of the things you called out in the press release is that you signed the largest deal in the history over $500,000 in ARR. I guess just two questions here. First obviously the new – the newer solution for you guys, just wondering if you can give us a commentary just sort of like how you are going to market with this, sort of who this is sold into and kind of how it fits into the product portfolio? And then obviously, it is not just the new solution to the Ping, but also just a new market. So where are we in, call it the CISO’s understanding of the need for API security?
Andre Durand: Of this one, we are definitely pioneering the way on API security. I will step back and say that digital transformation has three main pillars, digital experiences kind of sits at the center of it, cloud transformation and API transformation, where companies now are really getting deliberate about the APIs of their underlying systems and services so that they can innovate faster. In light of that, I will tell you that for our users conferences, the interest in our API security sessions are the highest attended and we have the most interest. So clearly, we are hitting a chord with our current buyers and our current users to want to understand what Ping is doing to help them secure their growingly important and growingly fast API infrastructure. But in many respects, Ping is defining the market in much the way that we defined the single sign-on market in the early standards of identity. So we like that position. We like our thought leadership and investment. We have a lot of conviction about where we spend our money on innovation. We have been convicted that APIs sit underneath everything in the future. And we will have to do more to protect the APIs than simply provide what’s called OWASP keys to gain access and so this is giant step forward in our ability to bring visibility to all the API traffic companywide and then to provide machine learning and AI to detect anomalies and stop hackers.
Operator: Your next question comes from Michael Turits with Raymond James. Please go ahead. Your line is open.
Michael Turits: Hi, guys. Good evening. Congratulations, Andre, Raj, Hugo and everybody, of course on the deal and on a good first quarter out of the gate. Two product questions for Andre and one question for Raj. So, Andre, two new products that are up and coming, PingCentral, this should help with on-boarding, especially in legacy and then Ping private cloud, which plays on that tendency that you talked about for people who want to put thing into the cloud, but still keep control. Are each of those products starting to have an impact, because they both seem like they could be really helpful?
Andre Durand: Those products are both very new, Michael, but I will say the interest for, let me start with PingCentral, the interest from PingCentral was driven by a vast array of existing customers who have deployed Ping centrally to – they deployed Ping to provide central identity services to the entire organization. The number of application teams that are consuming identity services from Ping is vast measured in thousands of application developers at many of these large enterprises. What they have needed to do and then many have done themselves prior to our development of PingCentral is put a portal so that application developers could consume identity through self-service. It drastically reduces the workload for IT, IT as IAM professionals and it speeds the on-boarding of new applications and the migration off of legacy. So we just followed their footprint. What many of our customers did, we collaborated with many, we rolled that product out and we have a lot of customers now that are in early innings of testing PingCentral. Ping cloud is our solution for the large enterprises that have all of the requirements of our most advanced enterprise capabilities of a cloud-first mandate, do not want to be in the business of hosting or running or managing the infrastructure. We can now stand up the Ping solution or the Ping platform for those customers really in a matter of minutes. And so that is really targeting the large customers with advanced requirements that can be met from the Ping platform where they have got a cloud, where they also have a cloud first mandate.
Michael Turits: Great. That’s really helpful, Andre. And then Raj on the mixture of multiyear churn, if you look at the footnote, it looks like it’s about the same percentage of total revenue as it’s been the last couple of quarters? Is that how we should expect or do you see an increase or decrease in that multiyear portion that if it comes in higher would benefit revenue?
Raj Dani: Yes. I think that it will be gradual, Michael. I mean, this quarter we tended to just have more multiyear contracts. I think that is like I said earlier it’s the direction our customers are taking. I think for the most part, it will stay pretty much in the range it has been historically. Keep in mind also what I had mentioned earlier is that more and more customers are deploying Ping software in a third-party cloud of their choice and that looks like – while that’s a cloud transformation for the customer or us from a revenue recognition standpoint it looks like software term license revenue. So given that, that may impact the mix a little bit towards software, but for the most part, I don’t see major changes from where we have been historically.
Operator: Your next question comes from Gregg Moskowitz with Mizuho. Please go ahead. Your line is open.
Gregg Moskowitz: Okay, thank you very much and congratulations guys on a very good start as a public company. I will just ask one question since I know we are getting short on time. More recently, Andre, we have been hearing about rising demand for password list or MFA-oriented solutions and assuming that’s consistent with what you are seeing, can you talk about how you are capitalizing on that, particularly as it relates to your installed base? And I ask the question just given that many of those customers, many of those enterprises had initially deployed Ping years ago?
Andre Durand: Our password list solution is a cloud deployed solution. It is our MFA product PingID. We demonstrated password list at our users conference, IDENTIFY, a month ago. There is a lot of interest in the market for a better security, but password list user experience we enable it today, we are strengthening it through our intelligence and risk services. I expect that this is going to be large and much the same way I said that we are at a time and place where MFA needs to be put on everything. Passwords alone are no longer enough to secure anything much less critical infrastructure. So that is one of the drivers that we see I think the market recognizes that. Our customers are putting our MFA solution on everything and they are coupling it with our single sign-on solution. So users authenticate once. And then to the Ping platform, Ping provides single sign-on to all the applications. We are making our MFA more intelligent and we are improving the user experience all the time. Password list is going to be a long-lived theme. There are many ways to accomplish password list by the way which is why I think this is a long-lived theme. There isn’t just one way to do it. We will support all the ways that enterprises want to support password list.
Operator: Your next question comes from Jonathan Ho with William Blair. Please go ahead. Your line is open.
Jonathan Ho: Hi, good afternoon. Let me echo my congratulations as well and I will limit myself to one question. You gave a few examples of where you are being used inside of AWS, I just wanted to get a little bit more color about how you are maybe enabling some of that lift and shift opportunities and how customers that are looking to go to that digital transformation and shifting to DevOps or looking at your solution? Thank you.
Andre Durand: Yes. We have invested heavily in this last year and will accelerate the – essentially the containerization efforts and the efforts to allow our platform to deploy on any cloud in a matter of minutes. Our customers have been doing this for the better part of the last couple of years. Many of our largest deployments are deployed in Amazon. We are now hearing Azure more often, but it is being deployed into public cloud in the customer’s tenant. And automating the way in which they both deploy and upgrade that infrastructure in simplifying it around technologies like Docker and Kubernetes and generally speaking the containerization of our platform. That is significant effort underway here and we see a lot of demand for it. In many cases, our customers are now collaborating with being that they have actually already deployed at significant scale.
Operator: Your next question comes from Gur Talpaz with Stifel. Please go ahead. Your line is open.
Gur Talpaz: Okay, thanks for taking my question and I also echo my congratulations on the results and the successful IPO. I will keep it to one question here as well. Andre, you have talked a lot about hybrid as a differentiator and I was hoping you could elaborate a bit on that? Are you seeing that play a factor in competitive bake-offs? And I think more broadly, how do you think about your flexibility in terms of deployments as a differentiation as you go forward?
Andre Durand: Yes, thank you, Gur. I’d say there is two dimensions in the hybrid. There is notion of hybrid IT, which is IT is managing infrastructure both in the cloud, in the datacenter in multiple clouds probably. And so we want, enterprises want to deploy identity to create a consistent security experience for all users irrespective of where they are going or where the applications that they are accessing reside. So to be wall to wall or end to end for a general enterprise to incumbent all applications for sign-on access security, you have to accommodate the large portion of on-prem apps. You have to accommodate the apps deployed in the public cloud and you need to protect the apps consumed to SaaS or just in the cloud. Ping has been doing that for years. We have all the integrations to all of the legacy on-prem. Those are hard, because many times they are proprietary. We develop the standards that allow us to connect to the cloud. So we have been connecting cloud and on-prem across hybrid IT really for the better part of our entire existence. What has now emerged which is a little bit different. So when we talk about hybrid cloud versus hybrid IT is this notion that companies are deploying identity in their cloud and the level of customization, the level of control that they are looking for, the five 9s in some cases that they are looking for architecting for tier zero infrastructure, data residency now matters in many of these customer use cases with privacy regulation popping up where all of a sudden now where they deploy their identity controls matters. We are seeing companies deploy Ping into their cloud. So hybrid cloud really speaks to the notion that Ping can stand all of the applications across the enterprise, cloud and on-prem first point. Second point is they can deploy identity where they want, how they want, their level of customization control security and that is growing in our customer base and it is especially growing in that customer use case.
Operator: Your next question comes from Shaul Eyal with Oppenheimer. Please go ahead. Your line is open.
Shaul Eyal: Thank you. Good afternoon guys. Congrats on the strong debut quarter. Raj or Andre, I know customer count is not a metric to closely watch, but can you tell us maybe even just from a color prospective, how many customers give or take were added during the recent quarter and maybe Andre just international versus domestic business during the third quarter? Thank you.
Raj Dani: Yes, hey, Shaul. Thanks a lot. This is Raj here. So the customer data, we will pretty much give you a comprehensive look annually and that will be in our next call, but directionally, what I can tell you is in the past few years we have been focusing on expanding the base. We have invested a lot in product. We have really developed our platform. And we have had great success as you can see from our net dollar expansion rate – retention rate that we have been able to sell into our base. Now with this lean in, so to speak, of sales and marketing, we are targeting new customers and we are seeing a lot of positive momentum this year in terms of new logo generation. So stay tuned for that and we will get you more comprehensive look next quarter. From an international standpoint, we continue to see a lot of momentum there as well. As you know, in EMEA and in APAC, there is a lot of focus on data security and data privacy. That’s really been a tailwind to our customers engaging with us and purchasing Ping solutions. We did for Q3 as you will see in the Q our international revenues were about 25% of the total. So we are really pleased with our international exposure there.
Operator: There are no further questions at this time. I will turn the call back to management for closing remarks.
Andre Durand: So I want to thank everyone for joining today’s earnings call. We appreciate the time, thoughtful questions and we are grateful for the support of our investors. We strongly believe that the pervasive need for enterprise grade security, our innovative solutions, market tailwinds and the commitment to supporting our customers will continue helping forward. I just want to reiterate how excited we are to continue Ping’s mission of securing the digital world through intelligent identity. And we are looking forward to the journey ahead. Thank you.
Operator: This concludes today’s conference call. Thank you for joining and you may now disconnect.